Operator: Ladies and gentlemen, thank you standing by and good evening. Thank you for joining Sohu's First Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. After management prepared remarks, there will be a question-and-answer session. Today’s conference call is being recorded. If you have any objection you may disconnect at this time. I would now like to turn the conference over to your host for today's conference call, Eric Yuan, Investor Relations, Director of Sohu. Please go ahead, sir.
Eric Yuan: Thanks, operator. And thank you for joining us today to discuss Sohu's first quarter 2015 results. On the call are Chairman and Chief Executive Officer, Dr. Charles Zhang; President and CFO, Carol Yu. Also with us from Changyou is Co-CEO, Dewen Chen, as well as COO of Sogou, Xiaochuan Wang; Vice President of Sohu and COO of Sohu Video, Ye Deng; VP Finance of Sohu, Steven Sim. Before management begins their prepared remarks, I would like to remind here of the company's Safe Harbor statement in connection with today's conference call. Except for historical information contained herein, the matters discussed in this conference call are forward-looking statements. These statements are based on current plans, estimates and projections and therefore you should not place undue reliance on them. Forward-looking statements involve inherent risks and uncertainties. We caution you that a number of important factors could cause actual results to differ materially from those containing any forward-looking statement. For more information about the potential risks and uncertainties, please refer to the company's filings with Securities and Exchange Commission including its registration statement and most recent Annual Report on Form 10-K. With that, I will now turn the call over to Dr. Charles Zhang. Charles, please proceed.
Charles Zhang: Thank you. And thanks to everyone for joining our call. I am pleased to report a solid quarter as our group's total revenues reached $455 million, up 25% year-over-year, which exceeded the high end of our prior guidance by $15 million. We saw encouraging trends across all of our key business lines. For Sohu Media Portal, we were proactively expanding the customer base, as our popular mobile news products News App enable us to offer cross screen advertising solutions for both large brand and small SME customers. Sohu Video advertising revenues grew 57% year-over-year, mainly driven by faster mobile monetization. For Sogou, its revenue performance was better than we had expected as mobile search made a greater contribution, and we continued to grow substantially faster than the overall search industry. For Changyou, in the first quarter, both top-line and the bottom-line comfortably topped our prior guidance, as our major games continued to deliver solid performance. Looking ahead, while TLBB PC and 3D mobile games will continue to generate steady cash flows for us, as the current portfolio is gradually maturing, our main focus is to bring out an abundant and diversified mix of new games, especially mobile games to the market. Before I get in more details of our key businesses, let me summarize our financial results for the first quarter of 2015. Total revenue were $455 [ph] million, up 25% year-over-year and down 5% quarter-over-quarter. Net brand advertising revenue $134 million, up 20% year-over-year and down 9% quarter-over-quarter. Of this, revenues of Sohu Media Portal, or Sohu.com ex-video, were $45 million, up 2% year-over-year. Revenues of Sohu Video were $50 million, up 57% year-over-year. Sogou revenues a $116 million, up 66% year-over-year and down 3% quarter-over-quarter. Online game revenues a $185 million, up 13% year-over-year and flat quarter-on-quarter. Non-GAAP net loss attributable to Sohu.com Inc. was 2015 was $25 million, or $0.66 loss per fully-diluted share. Now I'll go through some of our key businesses, first of all our Media business. Our Sohu Medial Portal with consistently refined [ph] our leading mobile news products and improved the quality of content to meet the demand of increasingly sophisticated users. We have primarily focused our efforts on two areas. First we strive to offer high quality, diversified and reliable content. In the latest version of our News App we have combined advanced algorithm with human screening to Diors Man content users. Our editors validated and attribute scores to articles contributed by external writing articles based on it, quality. We pulled such content together with the premier – public premium articles from our in-house editor engine [ph] as well as other diverse content into our data base. There are proprietary algorithm that will get aggregate and in a short content by ranking system with the help of this hybrid approach we can deliver a rich and selected portfolio of content to users. We received the positive feedback from users to the refinement [ph] our data showed engagement improved in terms of number of comments and forwarding articles. Second, we expanded our distribution channels. We work closely with smartphone makers, as well as other popular applications, APPs make our products as successful to users as possible. Recently we were invited by Samsung to develop an exclusive and customized News App that will be print off on newest Galaxy S6 phones in China. In the first quarter our efforts – the enhancing monetization have also progressed well. We launched a new app format across VLC [ph] video into our in commercial ad. Video add are embedded in the information flow and can be played while users browse other headlines. In the meantime, we started actively growing our SME customer base, which is a promising opportunity, many SMEs had in our previous rating our PC portal customers because the cost of the hardest locations on our website were well beyond their budget. Now as we rollout our advertising formats and launched the click based added system, we are able to allocate suitable ad spaces not just to our brand customers but also to SMEs. We provided them cross screen, and cost efficient marketing solutions. In the first quarter both the number of SME customers and revenues from them increased decently. Those absolutes amounts was due to a modest for the coming quarter we believe there is ample room for this segment to grow going forward. For the first quarter revenues from Sohu Media Portal were $45 million, up 2% year-over-year. In the meantime, our cost cutting measures helped to bring down expenses by 15% from the same period to 2014 and therefore we reported a small profit. Moving to Sohu Video, we are well on our way to execute our 2015 common strategy, which is to secure a fair share of head content at a rational cost, while increasing the investments in original and professionally generated content. For the first quarter we broadcast eight of the top 10 domestic TV dramas, the new season of the variety show Sing My Song to [indiscernible] which was exclusively available on our platform, ranked number two on all TV shows during the period. To date, the show generated over 650 million video views and successfully attracted the attention of advertisers. For original content a strong line up of dramas in shows are now being seen. In May the new season of Diors Man will return to our platform. Quite a few brand advertisers have shown strong interest to sponsor this well known drama. For PGC, Professional Generated Content, we are building a platform to promote hundreds of small studios. This platform will help the best talent not only to get clear access to Sohu Video's large audience, but also gain financial pay offs through our revenue sharing program. In the first quarter, we added about 250 more content parameters [ph] bringing total number to around 650, while daily update, uploads of new video clips increased by about 45% from a quarter ago. Combined with user base – user generating content this category already accounted for about 20% of our video traffic and have great potential. Our diversified content offerings help us to maintain a good level of traffic growth, especially our mobile. In March aggregate traffic rose 75% from a year ago, while more than two thirds came from mobile. Financially, in the first quarter video ad revenues were up 57% year-on-year and the contribution of mobile ads rose to 36% of the total revenue. Looking ahead, we are developing new ad formats to improve the sell through of a APPs Plus [ph] as well as seeing other non-advertising initiatives such as paid surveys and mobile game distribution. These moves will help Sohu Video maintain healthy growth. Next moving to Sogou. Sogou enjoyed another quarter of robust traffic and top line growth, look ahead, leveraging its partnership with Tencent, Sogou will accelerate the product innovation and – even stronger mobile search trend in China. Xiaochuan will update you in more detail after my remarks. Lastly, and we talk about Changyou, our flagship TLBB PC game delivered another quarter of solid revenue and profitability. In the past few quarters we were optimizing promotional activity and improving in game balance and we believe we have now made this game operating on a sustainable level of monetization. Excluding the deferred revenue of $5 million, TLBBs 3D mobile games generated an average of US$15 million in revenue per month in the first quarter. Upon our launch the major expansion pack in late March, it quickly attracted attention from existing leaders which was in acceleration of their numbers. The point towards for our mobile games is the abundance and diversity of new games we have in pipeline for the year. We expect we'll lead quite a few mobile games in the remainder of 2015. The pipeline will cover a mix of MMO, ARPG, SLG games. Overall, Changyou made a good start in 2015. We now have a highly focused business plan and aim to increase the operating efficiency for the whole company. And now I'll pass the call over to Xiaochuan for an overview of Sogou business. Xiaochuan?
Xiaochuan Wang: Thank you, Charles. [Foreign Language] In the first quarter Sogou maintained a solid growth momentum, aggregate the traffic increase by 60% year-over-year and of that mobile goods traffic jumped a 130%. As expected our mobile search traffic rose across PC traffic at some point this year. At the same time, the monthly active users of Sogou Mobile Keyboard grew to $220 million since this mobile APP hit iPhone, in the third quarter of 2014 which have further solidified its leadership position. [Foreign Language] On the product launch, we continue to deepen our cooperation with Tencent to further differentiate our search product, for example we enhanced Weixin Headlines feature to recommend Weixin content that better matches the inter video preferences of users. In addition, we have continuously improved the quality of mobile search. We have been stating as average related to Natural Language Processing and Machine Learning, many of research funding has been applied to optimize search results based on voice, image and location among others. All of this improvement are helping to differentiate our products and improve search quality and prepare for us in mobile search traffic. [Foreign Language] Financially, Sogou's first quarter revenues were $116 million, up 66% year-on-year beating our prior guidance. Mobile search revenues contributed 22% of total search revenues from just over 10% a year ago, driven by healthy growth in both traffic and monetization. We recorded non-GAAP operating income of $16 million compared with only $500,000 in the same period of 2014, improved profitability means that we are financially capable of increasing investments on the mobile front to capture greater market opportunities in 2015. I will now like to turn the call over to our VP of Finance, Steven, who will walk you through the group’s financial result.
Steven Sim: Thank you, Xiaochuan. I will walk you through the financials for our key business lines for the first quarter. The profit and loss numbers mentioned below are all on a non-GAAP basis, first brand ad business. In the first quarter net brand advertising revenues were $134 million, up 20% year-over-year and down 9% quarter-over-quarter. Of this, revenues of Sohu Media Portal were $45 million, up 2% year-over-year. The segment posted modest profit which was better than the slight loss from the same period of 2014. Revenues of Sohu Videos were $50 million, up 57% year-over-year with widening new loss as compared to the same period last year due to higher content acquisition and bandwidth cost. Second, Sogou. For the first quarter total revenues were $116 million, up 66% year-over-year and down 3% quarter-over-quarter. Of this, search related revenues were $91 million, up 77% year-over-year and down 3% quarter-over-quarter. Before non-controlling interest, Sogou posted net income of $60 million, as compared to $3 million in the prior year. Third, Changyou. For the first quarter, total revenues including 17173.com were $209 million, up 15% year-over-year, and down 3% quarter-over-quarter. Before non-controlling interest, Changyou posted net income of $52 million versus net loss of $90 million in the prior year. For the group, in the first quarter, total revenues were $455 million, up 25% year-over-year and down 5% quarter-over-quarter. Non-GAAP net loss attributable to Sohu.com Inc. was $25 million or $0.66 loss per fully-diluted share. This compare to our prior guidance of $0.95 to $1.05 loss. The smaller loss was nearly due to better than expected profit contributor from Changyou as its games revenue topped our expectation. Now let me provide our outlook for the second quarter of 2015. We are expecting total revenues to be between $460 million and $490 million. Brand advertising revenues to be between $150 million and $160 million. This implies a sequential increase of 12% to 20% and an annual increase of 12% to 20%. Sohu Media Portal revenues to be between 32% and 34% of total brand advertising revenues. Sohu Video revenues to be between 39% and 42% of total brand advertising revenues. Sogou revenues to be between $135 million and $145 million, this implies a sequential increase of 16% to 25% and an annual growth of 48% to 59%.Online game revenues to be between $155 million and $165 million, this implies a sequential decrease of 11% to 16% and an annual increase of 1% to 7%. Before deducting the share of non-GAAP net loss pertaining to non-controlling interest, non-GAAP net loss to be between nil and US$10 million. Non-GAAP net loss attributable to Sohu.com Inc. to be between $35 million and $45 million, non-GAAP loss per fully-diluted share to be between $0.9 and $1.15. Assuming no new grants of share-based awards, we estimate that compensation expense relating to share-based awards to be around $15 million and $16 million. GAAP net loss attributable to Sohu.com Inc. to be between $45 million and $55 million, and GAAP loss per fully-diluted share to be between $1.15 and $1.4. Now, I turn over the call to Carol, to make her concluding remarks.
Carol Yu: Thanks, Steven. In the first quarter, our overall financial performance was better than we had expected. Notably, Sogou continued to deliver robust revenue growth coupled with decent profit. For Sohu Media Portal, we made good progress on developing more small and medium enterprise customers and derive increased revenues from them. For Changyou, TLBB PC and 3D mobile games both performed well and its margin rebounded meaningfully from 2014. For the rest of 2015, we will continue to invest in key initiatives which can drive our long-term growth, while keep a streamlined cost structure. This concludes our prepared remarks. Operator we will now like to open the call to questions.
Operator: Certainly, ma’am. [Operator Instructions] Your first question comes from the line of Eddie Leung from Merrill Lynch. Please ask your question.
Eddie Leung: Good evening. Thank you taking my question. I am wondering if Charles could give us an update on his thought on the video industry, both in terms of opportunities and competitive landscape? Thank you.
Charles Zhang: Well, the video industry at current high cost of content and value [ph] is still at a loss, so I hope that first of all the competition for the head content, especially the TV dramas and domestic variety shows, the competition will you know, loosen up and through that the price will depend – will become favorable to the strategic companies. And also there is new business model emerging, especially the PGC, like the Professional Generated or Video Generated Content which basically its free and also new advertising business model that can actually scale monetize these PGC content. And also for the movies the subscription or paid models emerge. So I think these are the factors that probably will be able to make the video business sustainable because as current type of business it’s not sustainable, because the content is just 320 [ph]
Eddie Leung: Understood. Thank you.
Operator: Thank you. Your next question comes from the line of Alicia Yap from Barclays. Please ask your question.
Alicia Yap: Hi. Good evening, everyone. Thanks for taking my questions. My question is regarding the search Sogou business. So how much is the percentage of search revenue come from medical and healthcare sector? And just wondering have been able to benefit from any of the disruptions from the Putian incidents at our competitor and also have you seen any advertiser categories to be benefit from our deeper collaborations with Tencent Weixin partnership? Thank you.
Xiaochuan Wang: [Foreign Language] So the medical industry contributed 20% of search revenues and the Putian development has no impact on Sogou's revenue growth. [Foreign Language] With these Weixin gives a competitive edge as through differentiation, but it has now direct implication on advertising categories and most importantly Weixin has brought a significant run off [ph] to our mobile search traffic.
Alicia Yap: No, I just wondering because given Weixin, the product, social [ph] graphic will we able to get more advertiser category, maybe from e-commerce or something like that?
Xiaochuan Wang: [Foreign Language] We have actually started to yes, leverage some users profile, leverage some user data to improve the quality of mobile search and we believe for the long-term we are going benefit to attract more advertisers to our platform.
Alicia Yap: Okay. Great. Thank you.
Operator: Thank you. Your next question comes from the line of [indiscernible] from Credit Suisse. Please ask your question.
Unidentified Analyst: Hi. First a quick follow up on the previous question. So for the user traffic, for the mobile search traffic you ratified Weixin, do you guys need to pay any sort of a traffic acquisition cost to Tencent?
Charles Zhang: No.
Unidentified Analyst: So zero cost?
Charles Zhang: Zero cost, yes.
Unidentified Analyst: Thank you. And my second question is on video, is sort of a housekeeping question. And we understand due to the tightening regulation, as the TV drama is and still I am not be able to stream some of your licensed of those TV dramas, such as the Big Bang Theory as previously scheduled…
Charles Zhang: You mean the US importing dramas, right?
Unidentified Analyst: Yes, yes. So…
Charles Zhang: Imported, okay.
Unidentified Analyst: Just wonder from accounting perspective, will you guys need to book any impairment on the licensing rise for those expected TV dramas? Thank you.
Charles Zhang: No. Because its – so its regulation, so its book accounting. So there is no – so since we are not broadcasting the content yet, so we are not booking revenues. So we are not getting income. So we not paying the – paying the seller.
Unidentified Analyst: I see. Thank you.
Operator: Thank you. Your next questioncomes from the line ofChi Tsang from HSBC. Please ask your question.
Unidentified Analyst: Hi, this is Alex, calling on behalf of Chi. Thank you for taking my question. I have three questions. The first I want to know so who is plan for spin off of Sogou, is there any more color about it. The second question is about video top line for 2015, how much is perched and how much is in-house developed. The last one is a housekeeping question, how many customers are now is in search business? Thank you.
Charles Zhang: Well, you first question, there is no color on it, so no comments. Second question is, I think though we – that we made some successful in-house production, like Diors Maintenance, but its still - the in-house production is still representing a very small percentage of our content portfolio, on content assemble. Certainly the – what was third…
Xiaochuan Wang: [Foreign Language] Okay. The number of search advertisers for Sogou is around 3000.
Unidentified Analyst: Okay. Thank you very much.
Operator: Thank you. Your next question comes from the line of Natalie Wu from CICC. Please ask your question.
Natalie Wu: Hi. Thanks for taking my question. I had two questions if I may. The first is further related to the – your advertisers profile on PC and mobile. Can you update us especially top three advertiser sectors for your brand ad, as well as search ad, and I am wondering if there is any difference between PC and mobile. And the second is, as you mentioned before the competitions for online video sector is becoming more and more fierce, just wondering will there be any possibility that newer collaborator with some players along the value chain? Thank you.
Xiaochuan Wang: [Foreign Language]
Charles Zhang: Yes, its still – so on the portal advertising, is still rent by – the top line is power [ph] [indiscernible] industry and followed by IT, electronics and also e-commerce. Yes, especially e-commerce and so that we are open up to many smaller SMEs or some start up the companies who are promoting their APPs and all these online application products.
Natalie Wu: And e-commerce, have you also included the e-commerce business, around focus – focused of the end? Your estimate on…
Charles Zhang: No, e-commerce is basically is like toolbar [ph] this is a source that’s promoting their products, the inventory – inventories on the Sogou portal, especially on the mobile front...
Natalie Wu: I see. Thank you. And what about the search, and Sogou search ad?
Xiaochuan Wang: [Foreign Language] So for the search business the top three are sectors on both PC and mobile at [indiscernible] it’s roughly e-commerce, the healthcare and gaming.
Natalie Wu: Thank you. And about online video?
Charles Zhang: Online video, what's your question?
Natalie Wu: Especially on…
Charles Zhang: I think online video is part of the Sogou group’s media portfolio, I mean, media offerings, so its - I think keep it winning the total group, so that becomes about better reporting…
Natalie Wu: Okay. Thanks.
Operator: Thank you. Your next question comes from the line of Owen Joe [ph] from Morgan Stanley. Please ask your question.
Unidentified Analyst.: Hi, good evening. Thank you for taking my question. I have two questions. The first one is on the video content budget. We noticed that the first quarter has high rise, high year rise on the video content budget, what should we expect in the remaining quarters. And my second question is on the mobile search monetization moving trend, to what extent of your CPC and RPM, the gap between PC and mobile search? Thank you.
Charles Zhang: Yes, the common cost of video for Q1 and Q2 are similar, so it’s – yes, and in the second half of the year the cost will be lower. We secured a top content in Q2.
Unidentified Analyst.: Thank you.
Xiaochuan Wang: [Foreign Language] So mobile search monetization capability is around 50 to – is around 83% of our PC level and CPC is – has a small gap, with the PC level.
Operator: Thank you. Your next question comes from the line of Thomas Chong from Citigroup. Please ask your question.
Thomas Chong: Hi. Thanks for taking my questions. I have three questions. The first one is about content cost, can management provide some color about the year-on-year increase for your committed content cost for this year. And second question is about the mobile search, can management provide us some color about the source of the traffic, is still maturity comes from Sogou [ph] browser. And thirdly is about the portal business, can management provide us some color about the mobile portal revenue contribution trends?
Charles Zhang: So the common cost, you mean basically the video content, right?
Thomas Chong: Yes.
Charles Zhang: That’s a big part. So compare with last year the video content cost rise 50%. So if you look at even our revenue growth at 57%, but still the cost is also up. So that still add – video business still at a loss. And mobile revenue of the portal business, our portal business is one third, yes.
Xiaochuan Wang: [Foreign Language] So mobile per traffic is still a majority comes from future mobile browser, but we are also developing our own organic search traffic, which is actually out growing our overall mobile search traffic at Sogou.
Thomas Chong: I see. Thanks.
Operator: Thank you. Your next question comes from the line of Fang Li from Goldman Sachs. Please ask your question.
Fang Li: Hi, Charles, Carol, Steven and Eric, thank you for taking my question. So I have two questions. First one is Sogou Media Portal revenues are up 2% year-on-year this quarter, actually it’s a bit weaker than our expectation. Could the management share with us what reason behind this relative below expectation result, and what's your mind technician plan in the coming quarters? And second one is about Sogou, so the non-GAAP margins trend up very nicely from 8.5% in fiscal year 2014 to 13.8% this quarter. So could management share with us the main reason behind this improved operating leverage? Thank you.
Charles Zhang: Yes, I think the first of all the reason for the portal business basically are flattish growth, is first of all the last year the quarter was a – you mean the Q2, okay, okay, so Q1. So it’s basically Sogou portal is really in transition. We're looking at is the revenue shift from basically PC to mobile and the mobile revenue growing nicely and also especially the small media enterprises this new build model is start to emerge but at a lower – a smaller base. Well, we see a rapid growth of traffic from mobile side, but we see some decline in the PC traffic. And so that’s – so basically the mobile business is in transition, but it’s moving toward a more healthy mix or a structure of the news model. So we are looking at in Q2 the growth will be more.
Xiaochuan Wang: [Foreign Language] I think you're right, Sogou's margin is actually trending up and search business is great, has a great business model as long you have more traffic, you have sort of greater monetization capability and revenue it naturally scales up, this gives us a certain operating leverage, that’s why we can grow our profits at a faster pace than revenues.
Charles Zhang: Yes, I also want to caution our management comment on, so although our company growth is flat 11% about –because it actually, the cost reduction is slightly a better structured or transitioned, you know, are moving into – so actually reduction, the cost is been reduced by 15%, so actually we are making a profit.
Fang Li: Thank you, Charles it’s very helpful.